Operator: Welcome to the Range Resources Third Quarter 2016 Earnings Conference Call. This call is being recorded. All lines have been placed on mute to prevent any background noise. Statements contained in this conference call that are not historical facts are forward-looking statements. Such statements are subject to risks and uncertainties which could cause actual results to differ materially from those in the forward-looking statements. After the speakers' remarks, there will be a question-and-answer period. At this time, I would like to turn the call over to Mr. Laith Sando, Vice President, Investor Relations at Range Resources. Please go ahead, sir.
Laith Sando - Range Resources Corp.: Thank you, operator. Good morning, everyone, and thank you for joining Range's third quarter earnings call. The speakers on the today's call are Jeff Ventura, Chief Executive Officer; Ray Walker, Chief Operating Officer; and Roger Manny, Chief Financial Officer. Hopefully, you've had a chance to review the press release and updated Investor Presentation that we posted on our website. We also filed our 10-Q with the SEC yesterday. It's available on our website under the Investors tab, or you can access it using the SEC's EDGAR system. Before we begin, let me also point out that we'll be referencing certain non-GAAP measures on today's call. Our press release provides reconciliations of these to the most comparable GAAP figures. In addition, we've posted supplemental tables on our website to assist in the calculation of these non-GAAP measures and to provide more details on both natural gas and NGL pricing. With that, let me turn the call over to Jeff.
Jeffrey L. Ventura - Range Resources Corp.: Thank you, Laith. We are excited that we closed our merger with Memorial on September 16. The integration of the teams and the assets is going very well. Range now is a better, stronger company with strong teams and high quality assets in both our Marcellus Shale division and the new North Louisiana division. I'll begin by reviewing what Range accomplished during the quarter, and then I'll discuss some of the key attributes we have that I believe set us up for success. Range's ability to consistently drill low cost, high return wells across our acreage in the Marcellus as well as focus on driving down unit costs resulted in solid operating results for the third quarter. And due to the closing date, 15 days of solid performance from the North Louisiana team were represented in the quarterly numbers. The third quarter took us one step closer to seeing meaningful improvements in realized prices across all of our products. First, all three of our liquids projects were on line during the quarter: ATEX, Mariner West and Mariner East. We sold ethane to Europe, Canada and to the Gulf Coast, and exported propane from Marcus Hook into international markets. The net effect is that our NGL price increased from 13% of WTI to 25% of WTI on a year-over-year basis. Second, we have a new condensate sales agreement which – agreements, which commenced on July 1. These agreements improved our corporate condensate realizations from a $13 differential to WTI, to a $6 differential to WTI on a year-over-year basis, in a similar improvement compared to the second quarter of this year. Third, NYMEX gas prices were higher in the third quarter, and all of the gas pipelines we are contracted on are expected to be on schedule. This includes Spectra's Gulf Markets Expansion, which came on line earlier this month on October 4. This transportation allows us to move an additional 150 million cubic feet per day of our Marcellus production to the Gulf Coast. Like the Uniontown, the Gas City pipeline, which became operational this time last year, this project immediately improves our expected Marcellus netbacks. The next two projects for Range are Columbia's Leach/Rayne XPress and ETP's Rover Phase 2, both of which have received FERC's final EIS approval, and both of which we understand will be operational in the fourth quarter of 2017. As a result of this increased transport and our growing North Louisiana production, we expect to see corporate natural gas differentials improving to approximately $0.46 next quarter based on current strip pricing, and approximately $0.33 in 2017. All else being equal, these improved netbacks should improve margins substantially in 2017, and we expect further improvements in 2018. Let me turn to North Louisiana and give an update there. The integration, as I mentioned earlier, is going very well and the North Louisiana division is accomplishing a lot. Let me give a few examples. First, we just set a record for the fastest spud to rig release of any well drilled to date in Terryville field and then repeated that record with the second well. In addition, we just completed one of the best producing wells ever drilled in the field to date. Our purchasing department has also made good progress and we're achieving cost reductions on that front as a result. Ray will talk more specifically about these accomplishments and improvements in a few minutes. The North Louisiana team has also had some early success refining the targeting and landing in the Lower Cotton Valley. As an example, they just finished drilling some wells that were entirely within a much tighter target within the Upper Red. Once we complete the wells, we'll see what affect this has on performance. It's early, but we're also excited about the North Louisiana extension areas. The team has drilled the pilot holes for the first three extension wells, while testing new areas several miles away from Terryville and far away from each other, based on extensive logs, cores and shows, all three vertical pilots look very encouraging. In addition, we have drilled and cased the horizontal laterals on two of the three pilot holes. Again, the results to date look encouraging. The third lateral is currently being drilled. We expect to have all three wells drilled, completed and tested by the end of this year. The results of the wells will help provide additional data regarding the extension areas that will be rolled into our planning for 2017 and 2018. On a macro level, there are signs that later this year and into 2017, supply and demand will be more balanced and pricing could improve. We expect natural gas production in the U.S. to continue declining for the remainder of the year. Based on available data, it appears 2016 will be the first time that natural gas production will decline on the year-over-year basis since 2005. This supply decline is happening while demand for natural gas is increasing, driven by Mexican exports, power generation and LNG exports. Looking towards 2017, the NYMEX Strip has moved above $3 and we think it can continue to climb. Based on where strip pricing is today, we believe that we can grow the combined company at 33% to 35% for 2017. This equates to an organic growth rate of 11% to 13% for 2017, coupled with the full year of the North Louisiana division versus roughly a quarter in 2016. Importantly, this preliminary plan for 2017 also results in strong growth for 2018, assuming a $3.25 per mcf and $60 per barrel, we are projecting that we should achieve organic growth for 2018 of approximately 20%. We believe that Range's Marcellus and Lower Cotton Valley assets are two of the lowest cost gas plays in the United States, which results in a resilient and flexible platform for sustained growth. This combination creates a unique portfolio that is strategically located near key demand centers with more optionality for Range and an enhanced ability to serve our end customers. The product mix in both assets are similar, which enables us to utilize our marketing expertise for both natural gas and NGLs, and leverage our existing customer and transport relationships to find innovative sales arrangements just as we've done in the past. In summary, we believe that Range offers investors five key positive attributes. The first is a very high quality, low cost asset base in two very complementary basins. The second is improved capital efficiency as illustrated by the opportunity to go back onto existing pads to drill new wells in the Marcellus and to drill highly prolific wells in the Lower Cotton Valley. Continuing to drill longer laterals and optimizing landing and targeting will also drive improved capital efficiency in both regions. The third key attribute is top tier operational execution as evidenced by a consistent track record of operational achievements. The fourth is a strong marketing effort, highlighted by Range's ability to sell its products into multiple markets, enhanced by our newly acquired North Louisiana assets, and demonstrated in our expecting pricing improvements across all products heading into the fourth quarter of 2016 and further into 2017. Finally, Range has an even stronger balance sheet with ample liquidity and a strong hedge position for the remainder of 2016 and 2017. All of these attributes position Range to deliver strong operating results and build sustainable long-term shareholder value. I'll now turn the call over to Ray to discuss our operations.
Ray N. Walker - Range Resources Corp.: Thanks, Jeff. We continue to execute in the Marcellus and are already achieving significant wins in North Louisiana. Production for the third quarter came in at 1.51 Bcf equivalent per day, and for the fourth quarter, we're setting guidance at 1.85 Bcf equivalent per day. Excluding the asset sales and the North Louisiana volumes, we expect to grow 10% over last year, as previously guided, while maintaining our capital expenditure level at approximately $495 million. And importantly, we plan to end 2016 with an exit rate higher than last year, setting us up well for 2017 and beyond. We continue to make great strides in unit cost reductions, and this is something that we're really proud of. Specifically driving this improvement, in the Southern Marcellus, we've seen a 35% reduction in LOE year-to-date versus the average for 2015. This was achieved through three key areas: one, leveraging service cost with our long-term vendor relationships; two, reductions in third-party manpower; and three, the savings associated with our water handling through our water logistics team, which gets water from our production pads to our frac operation quicker than ever. Staying with our Marcellus activity, capital efficiency continues to improve, and I'll review some examples from our operations in Southwest Pennsylvania. On the water front, we've continued the improvements that we discussed on the last call, and we'll reduce our capital expenditures for water by over $20 million this year. We've reduced the total average completion cost per foot of lateral by 20% as compared to last year. Our top three pads completed in 2016 have averaged over 8.5 stages a day for a total of 432 stages. The best pad achieved a completion cost per foot of almost 23% below the average, which again was already 20% lower than last year. We're forecasting a 16% reduction in CapEx for production facilities, resulting in almost $6 million in savings this year as a result of design improvements, reductions in labor and material, and redeployment of existing equipment. On the drilling side, we've achieved a 5% reduction in drilling costs per foot compared to last year, and 8 of our top 10 best days for lateral feet drilled in a day have been this year. This illustrates that we're still improving and expect to continue to improve going forward. As we've covered many times in the past, we believe our average total well cost per foot, including facilities, are the best in the southwest portion of the basin. We believe if you look at some of our recent achievements, which are clearly more than just a few wells, you'll begin to appreciate the improving capital efficiency that we expect to see going forward. Again, all of this being done safely and in an environmentally sound manner by a strong operations and technical team, and by all our folks across the company. Today, we can drill a 9,000-foot lateral and complete it with 45 stages in our wet area with full facilities on a new build, four well pad, for approximately $7.2 million per well. In comparison to our peers, our cost is less; in fact, over $1 million less on an apples-to-apples basis. And our well performance is better, resulting in better economics. I should point out that this is not just theoretical. We have many of these types of longer lateral wells planned for the future. Like I reported on the last call, we are now drilling a seven well pad in our super-rich area, averaging approximately 10,700-foot laterals, with the longest at 14,500 feet. These wells will be completed early next year, and we look forward to sharing the results of these and other long lateral pads in the future. I'd like to take a few minutes to walk you through some of our recent top performing wells during the third quarter. But before I do that, I want to remind everyone that these rates will all be reported as constrained actual rates to sales. In our dry area, a four well pad with an average lateral length of 5,300 feet and 28 stages per well was completed, and had an average 24-hour rate to sales of 20 million cubic feet equivalent per day. In our wet area, two pads showed excellent results: a four well pad with an average lateral length of 6,800 feet and 35 stages produced at 22 million cubic feet equivalent per day per well; and a six well pad with an average lateral length of 4,500 feet and 23 stages produced at 19 million cubic feet equivalent a day per well. On the last couple of calls, we've also discussed our unique advantage of the expansive inventory of existing pads and infrastructure, which allows us to drill wells at lower cost, thereby increasing capital efficiencies while allowing us to ramp up quicker than any of our peers. Currently, we have an inventory of over 230 pads that we could eventually utilize. This is comprised of new pads, pads that are in various stages of execution, 124 producing pads with five or fewer wells, and 59 producing pads with six to nine wells. All of these represent opportunities to drill more laterals at very attractive cost. Although it's early in the planning process, in southwest Pennsylvania, our current plans have us drilling about a third of our wells on existing pads in 2017. That number could increase to as much as half of our wells in 2018. Our average drilled lateral length in 2017 is planned to be over 8,000 feet, and our expectation is the 2018 average lateral length will be longer. Again, these are early estimates and will most certainly change over time. What's important is that we have the ability to drill longer laterals, drill on existing pads, and we have permits in hand with infrastructure in place to yield further improving capital efficiencies going forward. Shifting now to North Louisiana, the integration is going very well. We'll be operating those assets out of our new North Louisiana division office in Houston under the direction of John Applegath, Senior Vice President of the new North Louisiana division, who has relocated there to Houston from our Southern Marcellus division office in Pittsburgh. Dennis Degner, now Vice President of the Southern Marcellus division, stepped up to take over the Southern Marcellus Shale division. We are extremely proud of both of these gentlemen and their accomplishments. Their record is clear, and through their leadership, we expect continued improvements in capital efficiency, coupled with improving well performance in both areas. When we originally evaluated the Memorial assets, our expectations were that we could improve on the already impressive results they have seen there. For example, we thought there was potential in terms of drilling times and costs, coupled with improvements in well performance by optimizing the target window and staying in zone, all of which should result in improved efficiencies and productivity over time. Even though we've only had the reins for approximately six weeks, as Jeff referred to in his remarks, John and the new team are already achieving some significant wins. We just set the record for spud to rig release in Terryville of 30 days and have now repeated it on a second well. To date this year, for wells averaging more than 5,000 feet of lateral length, the average has been 40 days. This 25% improvement in efficiency was achieved by implementing more aggressive bits and high speed, high differential motors. A lot of these ideas, and many more coming, are the result of us bringing in Scott Chesebro as our new Vice President of Drilling. Scott has a ton of experience in high pressure, high temperature drilling across the world, and was actually involved in the vertical drilling in the Vernon field. We expect Scott and his new team will be able to significantly improve drilling performance and costs as we go forward. And the last batch of wells that were completed, we also saw one of the highest productive wells in Terryville to date. It had a 30-day IP to sales of 4.7 million cubic feet equivalent per day per thousand foot, or over 27 million cubic feet equivalent per day, which is 68% higher than the average. We believe this is a real testament to both the team and the quality of the rock in Terryville, and clearly illustrates that there is more potential yet to be unlocked as we further develop the Upper Red along with the stacked pay opportunities in the Terryville field. Like I've said many times over the years in the Marcellus, I don't believe we've drilled our best well yet in Terryville. We've also had a quick win on targeting. When drilling in the Upper Red prior to Range, the target for the lateral ranged from 100 to 125 feet thick, encompassing most of the reservoir. We believe there may be significant performance improvements by incorporating an approach where we target only the best porosity interval, which is 20 to 40 feet thick,, and then stay in that much target window for 100% of the lateral. We've already accomplished this on a few wells and expect to announce those results next year when those wells are completed. Bringing to bear the supply chain advantages of Range has also resulted in an early win. For example, we've already saved 7% in casing costs resulting in savings of over $50,000 per well, and we expect that there will be many examples of this going forward. As illustrated in these few early examples, we believe strongly that we can lower cost, improve well performance, improve operational efficiencies, and lower our unit cost while working safely and being good stewards of the environment in the communities where we live and work. We will bring to bear our operating philosophy of steady and strategic planning, implementing innovative and sound technologies and processes that have worked for us in the Marcellus, while putting in place a long-term approach focused on economic and value-enhancing growth. Like Jeff mentioned, we're currently working on the three extension area wells. Two of the wells are in the completion phase and the third well is nearing completion of the drilling phase. We expect to be able to have initial results from these three wells before year-end. Looking at the data collected thus far, the Upper Red sands in these wells have an average gas in place concentration – that is Bcf per vertical foot – that is on par with the Upper Red in the very best part of Terryville. And they're twice as thick, yielding twice the gas in place as the Upper Red sands in Terryville. The Lower Red sands have an average gas in place concentration nearly three times that of the best lower red in Terryville. Considering these wells are deeper and have a higher pressure gradient, we interpret the high reservoir pressure, better gas in place, and the favorable reservoir parameters to be cause for optimism regarding these areas in the basin. Of course, we won't know for sure until we see the actual production from the wells. But one of the many things that our technical team has learned, especially after drilling and analyzing the early data from these expansion wells, coupled with our analyses of the existing producing fields and the more than 50 vertical tests throughout the acreage, is that the Lower Cotton Valley sands in this portion of the basin are fairly consistent, giving us support for our optimism. Even so, this does not take into account the other two to three horizontal targets available throughout the acreage. Shifting back to the Terryville field. Both Red zones and both Pink zones have been tested to date, along with further development in the Upper Red, which has been the primary target. We'll also be looking at the Lower Red and the Deep Pinks going forward. We see a lot of value in the stacked pay development, and combined with lower cost, are encouraged about the future potential in Terryville, along with the extension areas. For 2017, we'll enter the year with approximately 25 drilled and uncompleted well bores in North Louisiana, which we plan to complete in the first quarter. This will result in outsized production growth early next year, and to what we think will be a stronger pricing environment. As we smooth out the completion activity going forward, I believe we'll have a Range-like approach of steady quarter-over-quarter growth in North Louisiana as we enter 2018. Switching to marketing for a few minutes. In addition to improving net backs in the updates that Jeff discussed during his remarks, I'd like to re-emphasize a couple of points before I close. There have been a lot of questions about pipeline projects in Appalachia. Are they on time and what impacts might they have on bases and so forth? Remember that Range was the first mover in the basin, and we've been working on a diversified and layered portfolio of transportation for many years. As Jeff discussed, we believe the projects that we are in are on time. We sell to multiple markets and have been consistent in our strategy since we discovered the Marcellus. One pipe doesn't make a big difference to Range as we've diversified our exposure over multiple pipes. Our 2017 natural gas differential is expected to improve by $0.10 to $0.15 based on current strip pricing. And our pricing is much more resilient, having multiple outlets and a large base of North Louisiana production. Again, we just acquired a world-class asset in North Louisiana that gets very close to NYMEX pricing and provides marketing and capital flexibility. So now one pipe makes even less difference. We set capital budgets at the beginning of every year, but capital is allocated on a real-time basis. Having two of the most economic plays in the U.S. is a unique advantage and we have the flexibility to allocate capital real time as conditions dictate. None of our peers in Appalachia have this option. As both our Southern Marcellus and North Louisiana divisions continue to improve on cost, efficiencies and performance, we expect there will be a lot of value as markets improve. Now I'd like to turn the call over to Roger.
Roger S. Manny - Range Resources Corp.: Thank you, Ray. I'm delighted to report the third quarter of 2016 is the quarter we have been waiting to talk about for a long time. Natural gas, NGL and oil sales before cash-settled derivatives was $304 million. That's 36% higher than the second quarter of this year. Cash flow at $123 million was 32% higher. EBITDAX at $160 million was 24% higher. And cash margin at $0.82 was 17% higher. Range has navigated this period of low commodity prices well. And by all measures, the third quarter of 2016 appears to mark a financial turning point for Range. Given that the third quarter includes only 15 days of operating results from the Memorial merger, we're excited that we have not only turned the proverbial corner but are now moving forward on a wider, unique and more prosperous new road. The reasons for our optimism and confidence in Range's path are multifold. We have attractive new optionality when deploying capital, production continues to steadily grow, the cost structure continues to improve, and the higher margin marketing and transportation arrangements we've spoken of in prior quarters are now fully operational, delivering the improved cash flow and margins we predicted. Year-to-date cash flow was $316 million, and year-to-date EBITDAX was $424 million. Fully diluted cash flow per share this quarter, which again includes only 15 days of cash flow from the Memorial merger, was $0.68 per share. Looking closer a the third quarter cost structure performance, the Range teams have continued to do a terrific job holding the line on cash direct operating expense, which at $0.16 per mcfe was roughly the same as last quarter and a 38% improvement from the third quarter of last year. All other unit cost items came in at or favorable to guidance, with the exception of interest expense, which was $0.04 over guidance due to nonrecurring transaction expenses associated with the successful senior subordinated note exchange, which I'll further discuss in a moment. The third quarter DD&A rate was $0.95 per mcfe, identical to the prior quarter, and 18% better than the third quarter of last year. And please reference the third quarter earnings release for full fourth quarter 2016 unit cost expense guidance. Moving to the balance sheet, investors will note many positive changes resulting from the Memorial merger. The third quarter debt to capitalization ratio improved from 49% at year-end 2015 to 41% at the end of the third quarter. Debt to rolling four quarter EBITDAX, including the Memorial debt and historical four quarters of their EBITDAX, was 3.6 times. The combined Range and Memorial balance sheet limit our debt to EBITDAX leverage to the mid 3 times range, with the ratio getting better next year as higher cumulative cash flow improves the ratio moving into 2018. By the end of 2018, we expect the debt to EBITDAX ratio to have declined at least a full turn from continued growth at or near cash flow. Our forward-looking recycle ratio remains above the 2 times level, as NYMEX prices have further strengthened and our marketing contracts and North Louisiana production allow us to move more of our products to higher margin sales points. The Memorial merger also provided an excellent opportunity to further advance our balance sheet structure. Pre-merger, Memorial had a partially funded, fully conforming $1 billion bank credit facility and $600 million in unsecured senior notes outstanding. Pre-merger, Range had a $3 billion bank credit facility with only $3 million outstanding against its $2 billion commitment amount. Range also had one issue of unsecured senior notes outstanding and three series of unsecured subordinated notes. The merger allowed Range to resimplify the company's debt structure into a single bank credit facility and a single tier of unsecured senior notes through our comprehensive bond exchange and tender offer. And here's briefly how it worked. The Memorial bank credit facility was canceled as the merger closed. The collateral was released and the outstanding balance was moved to the existing Range bank credit facility. Over 97% of the three series of Range subordinated notes were exchanged for like-rate and like-maturity Range senior notes. And the Memorial senior notes were exchanged into like-kind Range senior notes or redeemed for cash at the holder's option, with the majority of the Memorial senior note holders choosing to accept Range notes rather than cash. The exchange was very successful. The Range subordinated notes are now senior notes. The Range and old Memorial senior notes are now all pari passu Range senior obligations and share the same covenant package as the Range existing 2025 senior notes. This allows bond investors to trade freely across the entire rate and maturity spectrum without making structural credit adjustments due to price. The exchange allowed Range to utilize some of our low cost unused bank commitment while still providing close to $1 billion in committed liquidity. Following the exchange, all of the Range bonds traded at tighter spreads than before the exchange, in both Moody's and S&P, moved Range to stable outlook. While Range is not yet investment grade, the bond exchange aligns our balance sheet closer to what is expected of an investment grade company. My compliments to the Range finance team for completing this complex and highly successful series of transactions, which makes our balance sheet even easier to understand and positions us well for future growth and credit quality improvement. The Range hedge position was significantly enhanced by the Memorial merger with the post-merger hedge book holding higher hedged natural gas volumes and prices. Range also added hedge volumes across all of our products during the third quarter. Please reference the earnings release, third quarter 10-Q, and Range website for specific post-merger hedge volume and price information. In summary, the third quarter showed the fundamental improvements in top line revenue, cash flow and margins flowing through the Range financial statements that we have all worked so hard to achieve. With the financial statements reflecting only 15 days of Memorial ownership and the exciting results Ray just discussed in both Appalachia and North Louisiana, we look forward to continued operating and financial progress in the quarters ahead. Jeff, back to you.
Jeffrey L. Ventura - Range Resources Corp.: Operator, let's open it up for Q&A.
Operator: Thank you, Mr. Ventura. The question-and-answer session will now begin. And it looks like our first question comes from Arun Jayaram from JPMorgan.
Arun Jayaram - JPMorgan Securities LLC: Gentlemen (33:12), my first question is just your broad thoughts on capital allocation between the Marcellus and Northern Louisiana as you think about 2017 and 2018. I think you're running four rigs in Terryville right now. So how are you thinking about capital allocation? I also wanted to see if you could maybe comment – I do know that MRD had some under-delivery on the PennTex systems. So that could provide an outlet for some kind of value-added growth thinking about the MVC's there.
Jeffrey L. Ventura - Range Resources Corp.: Yeah. It's a good question. Again, I want to stress, when you look at 2017, we're projecting an organic growth rate of 11% to 13%. And really, that's an output from several different scenarios where we're allocating various percentages of capital between the Marcellus and North Louisiana. Again, I think it's a great question and a really important one because it highlights our ability to choose between two great assets, each near key market areas in the Northeast and in the Gulf Coast. Both areas we have the ability to ramp production and are expected to get good growth next year relative to 2016. And we can do that for a long time into the future. Another key thing, I think that's kind of a unique ability we have to react to upcoming changes in capital allocation, in my opinion, is a real advantage that Range has that other companies don't have, or a lot of peers don't have. So it's a function of several things. We've run multiple scenarios. And you're right, Arun, we think as we continue to grow and ramp volumes, which we expect to do in North Louisiana, that, that cost that you mentioned will come down significantly. With time, we can really drive down the processing and gathering costs.
Arun Jayaram - JPMorgan Securities LLC: Okay. And just my follow-up, some intriguing comments just on capital efficiency gains in the Marcellus from longer laterals and using existing pads. Can you calibrate, perhaps, I don't know, on a percentage basis what that could do for your Marcellus program in terms of just capital efficiency in 2017 and 2018?
Ray N. Walker - Range Resources Corp.: Yeah. When you look at the pads, we've got 230 existing pads out there. And I won't quote those numbers again that I went through in my remarks, but all of them represent tons and tons of opportunities to go back and drill laterals. We've literally got thousands of them we can do. With the infrastructure in place, of course, when you go back onto an existing pad, you don't have to build the pad, the road, meter taps, production facilities, the water infrastructure, all that stuff is already there. And you can see savings on a per well basis ranging from $200,000 up to – I mean there's one example in our presentation, for example, that's $850,000. And they're not all going to be $850,000, they're not all going to be $200,000. I think every case is going to be specific. But as we roll into 2017 and we see as much as a third of our wells potentially next year in our current plans today which, of course, will change, but when we look at it today, we see maybe a third of our wells next year on existing pads. That could move to as high as half of our wells potentially in 2018. And I think over time, you're going to see some major improvements to capital efficiency. But I would peg it, if you try to get back to a well-by-well basis, somewhere between that $200,000 to $400,000, $500,000 per well on average. Something like that.
Arun Jayaram - JPMorgan Securities LLC: Great. And then you're also going to be drilling longer laterals as well, right?
Ray N. Walker - Range Resources Corp.: Yes. Yeah, we do expect...
Arun Jayaram - JPMorgan Securities LLC: Can you remind me of the average lateral length in 2016?
Ray N. Walker - Range Resources Corp.: In 2016, I think our average drilled lateral length is probably around 7,000 feet or so. Next year we'll see that going up to 8,000 feet. Of course, our goal, like I've said in the past, is to continue to push those longer and longer. We believe in the liquids-rich areas, the wet and the super-rich, that around 8,000 feet might be optimum for us. In the dry, we see them closer to 10,000 feet on average as we drill into the future. Now, of course, the wells that we turn into line may be a little bit less length than the ones that we're actually drilling because remember, again, you just got the lag time of six, nine months to a year, in some cases, before the wells actually come on line. But they'll be stepping up right behind it year-over-year, getting longer just like the wells we're drilling.
Arun Jayaram - JPMorgan Securities LLC: Okay. Thanks a lot.
Jeffrey L. Ventura - Range Resources Corp.: Thank you.
Operator: Our next question is from Pearce Hammond of Simmons Piper Jaffray.
Pearce Hammond - Simmons Piper Jaffray: Morning. And thanks for the helpful disclosure on 2017 and 2018 production growth. What would CapEx be roughly to drive that production growth?
Jeffrey L. Ventura - Range Resources Corp.: At or near cash flow.
Pearce Hammond - Simmons Piper Jaffray: And then, Jeff, what are you seeing on service costs on a leading edge basis? And what is your expectation for service costs inflation, if any, in 2017? And are you taking any steps to mitigate any of this potential inflation through maybe longer term contracts?
Ray N. Walker - Range Resources Corp.: Yeah, Pierce. This is Ray. I'll tackle that. It's a great question. And clearly, we are at or near bottom, we think, in service prices, and I don't think anybody would disagree with that. I think that the way prices on the service and supply side move from this point forward depends on – it's going to be very regional, I'll say it that way. I think in areas potentially like West Texas and maybe the SCOOP/STACK areas and places like that where activity seems to have ramped up quite a bit more, you know you could see prices moving up. In the Marcellus, per se, we don't see it. We are entering into what we term long-term relationships, not necessarily contracts. I think contracts is a term that gets way over-used when talking about service companies because every contract's different and has different outs and different resets and you know everything else that people put in there. But we focus a lot on long-term relationships and we don't see any important or significant price increases going into 2017. It's a little hard to see past that yet because I think a lot of it depends on commodity prices and what we see there, and we're pretty excited about the future going forward. We've got two great plays. We can allocate capital freely back and forth between the two plays. We have organizations and opportunities in place to significantly ramp up both sides of that. And so I think that we have a ton of really high-class opportunities going forward, and I think we're going to be well positioned to adjust to whatever happens on the service side.
Pearce Hammond - Simmons Piper Jaffray: Thanks, guys, and congrats on a great quarter.
Ray N. Walker - Range Resources Corp.: Thanks.
Operator: Our next question comes from the line of Doug Leggate with Bank of America.
Doug Leggate - Bank of America / Merrill Lynch: Good morning, everybody, and thanks for the early look at the next couple of years. Ray, I guess – well, maybe Jeff wants to answer this – but I guess the question we're all trying to figure out is the returns on Terryville look like they're, on an apples-for-apples basis, better than the returns marginally in the Marcellus, given the differential challenges and so on. I realize you talked a little about allocation and relative rig counts, but how do you think about how far you would want to go in skewing the capital towards Terryville? Why wouldn't you go to the highest return assets in the portfolio now that you have that option?
Jeffrey L. Ventura - Range Resources Corp.: Doug, I'd say if you look at the returns that are in our IR presentation on the website, and you look at them, they're actually close. Terryville was slightly better but they're very close. And one of the advantages we have again that a lot of our peers don't have, that are single-based and are focused is we can allocate capital back and forth. So as best as we can on a real-time basis, we'll be looking at making the best investment decisions we can. But we think that's an advantage we have that others don't.
Doug Leggate - Bank of America / Merrill Lynch: I guess I was thinking more about the impact on basis differentials in terms of mix, Jeff. We've seen (42:19)
Jeffrey L. Ventura - Range Resources Corp.: Sure, I mean – yeah, right. And we have...
Doug Leggate - Bank of America / Merrill Lynch: (42:22)
Jeffrey L. Ventura - Range Resources Corp.: The economics that are in there reflect the current strip and basis differentials for both areas, and yet the returns in those areas are close. To the extent that changes, we'll do our best to allocate to maximize value.
Doug Leggate - Bank of America / Merrill Lynch: Great. Thanks for that. My follow up is hopefully a quick one. It's really on the condensate pricing improvement. I know you touched on this last quarter, but I'm just trying to understand, if you could walk us through to the – notwithstanding any confidentialities – how you were able to achieve a $7 bump in your realizations and whether that is sustainable going forward, and I'll leave it there. Thanks.
Chad L. Stephens - Range Resources Corp.: Doug, yeah. This is Chad Stephens. It's really a function of the purchaser has a lot of scale in the area, and they have some new assets that they needed feedstock for. And fortunately, our light crude serves the asset that they just put in service well, so it was a good fit.
Doug Leggate - Bank of America / Merrill Lynch: So it is sustainable going forward?
Chad L. Stephens - Range Resources Corp.: Yes.
Doug Leggate - Bank of America / Merrill Lynch: Great stuff. Well, I'll see you in a couple of weeks, guys. Thanks so much.
Jeffrey L. Ventura - Range Resources Corp.: Thank you.
Ray N. Walker - Range Resources Corp.: Thank you.
Operator: Our next question comes from Ron Mills of Johnson Rice.
Ronald E. Mills - Johnson Rice & Co. LLC: Good morning, guys. Question on the extension areas of the Terryville field. Thanks for the cross-section showing the depth and the thickness, improving on the southern extension areas. The three extension tests, Jeff, you mentioned were spread across your position between the Driscoll/Vernon type areas or along that cross-section. Where about are you testing those extension areas?
Jeffrey L. Ventura - Range Resources Corp.: We haven't specifically disclosed where they are. That being said, I've seen different – I mean it's public data – and I've seen some people spot them up already. But I think the important part is, Ron, is – the point that you're making – is that they're far away from Terryville towards the southern edge, far apart from each other. So they're good tests of the 220,000 net acres, to start to look at what does the other acreage look like. The cross-section reflects the upside, and as you go south, it gets thicker. And as Ray mentioned, there's multiple fields in the area, plus 50 vertical wells across the acreage. It kind of gives you a feel for what that potential is. And, based on the – Ray mentioned with some detail, actually, not just say (45:08) they were encouraging, Ray gave you some feel to direct comparison back to Terryville in terms of the amount of gas in place and thickness and quality of the reservoir. But/and still we have – till you get the long-term tests, you don't know, but we're certainly encouraged by what we see, both the quality, quantity and where they're located.
Ronald E. Mills - Johnson Rice & Co. LLC: And is it fair to assume that – were these wells drilled with your design, with your lateral targeting? Just trying to get a sense as to the initial results, how they will be drilled versus what your plans are in terms of lateral targeting.
Ray N. Walker - Range Resources Corp.: Yeah, Ron. I mean, the wells were cited by the Memorial team prior to Range really being involved. I mean, we were there but we weren't really in control at that point. And as far as picking the actual targets, where we put the horizontal laterals into, that was a real team decision and Range was very much driving the train and working with the Memorial team in that, and fully baked in, fully supportive of what they picked and we all agreed to that up front. So yeah, so we were heavily involved in the completions, and of course, the completion design is on our watch and we're executing those as we speak.
Ronald E. Mills - Johnson Rice & Co. LLC: Perfect. And one last one in South Louisiana. Ray, the well you highlighted that came in about – it looks like it's almost 15% or 20% above the type curve you had used to evaluate the deal. I assume that well was drilled prior to the merger. I guess that's question number one. And the second part of that is what drove that outperformance, especially if it didn't have the benefit of such tight lateral targeting?
Alan W. Farquharson - Range Resources Corp.: Yes, Ron, this is Alan. The well was completed prior to us taking over operations on it. Probably what drove the productivity of the well is the fact that it was completed 100% within the 100 foot target interval. So it was – just to kind of help put some color on this thing, it's a 4,700 foot lateral. So the 30-day IP, if you normalize it, would be 43 million cubic feet equivalent a day. That's why it's very impressive. So was it 100% within the target interval? Obviously, completion design continues to change over time, so some modifications were made there.
Ronald E. Mills - Johnson Rice & Co. LLC: Great. Thank you so much.
Operator: Our next question comes from the line of Jon Wolff of Jefferies.
Jonathan D. Wolff - Jefferies LLC: Hi, guys.
Jeffrey L. Ventura - Range Resources Corp.: Hey, Jon.
Jonathan D. Wolff - Jefferies LLC: Very intrigued by the 230 existing well pads in Southwest PA you've talked about a little bit in the past. And I think you said a third of drilling would be on existing pads and 50% next year. Can you take us back in history? I recall that number being like 10%, 15% only a year or two ago. And then you went a little fast, was wondering if you could repeat the numbers of how many wells were sitting on each of those. I think you said 69 wells, 70 wells that had five or six wells on them. Could you go through that again?
Ray N. Walker - Range Resources Corp.: Sure. Sure. 230 existing pads. Those are all new pads and pads that are in various stages of execution. There's 124 pads with five or fewer wells. And there's 59 pads with six to nine wells. In general, most of our pads have the capability of eventually 18 to 20 wells. So you can do the quick math there and, literally, there's thousands of that. It's page 19 in our new presentation on the website.
Jonathan D. Wolff - Jefferies LLC: Those are Marcellus wells?
Ray N. Walker - Range Resources Corp.: Well, those are just...
Jonathan D. Wolff - Jefferies LLC: To get to 18 to 20?
Ray N. Walker - Range Resources Corp.: Yeah, the existing wells are Marcellus wells.
Jonathan D. Wolff - Jefferies LLC: To get to 18 to 20?
Ray N. Walker - Range Resources Corp.: The future wells could literally be in any formation.
Jonathan D. Wolff - Jefferies LLC: Okay.
Ray N. Walker - Range Resources Corp.: Because again, eventually, we could be putting Utica wells in there and Upper Devonian also if we chose to, going forward. But there's literally thousands of Marcellus wells left by itself.
Jonathan D. Wolff - Jefferies LLC: Okay. And then going back in time.
Ray N. Walker - Range Resources Corp.: Yeah. Going back in time, we have, of course, been experimenting with going back on existing pads for years now. And, in fact, there's an example in the presentation that has got about over two years of production history on it. And it was a pad that we went on to a five well pad and put two additional wells on it. And we were wanting to answer three questions. One, how much money did we actually save? Number two, did the wells interfere with the existing wells that were already there? And then number three, since we were going onto a pad that was already two years old, with the better targeting and the better completion designs, in other words, two more years of learnings, would that really help the completion? And the answer was, as presented on that slide, we saved $850,000 per well, which is huge. The wells did not impact the existing target. And literally, the new wells were, literally, only targeted about 20 feet or 30 feet different from the original wells. So even in the same zone, which is only about 80 feet or 90 feet thick in that area, we were only about 20 feet apart in difference and we were 700 feet between wells and we did not impact the existing wells. So that was a huge learning for us and we've repeated that several times since. And then the third thing is the wells, after two years of production, were 53% better producers than the original wells. So you can start to imagine, if you just go through that hundreds of times, going forward in the future, you can start seeing what sort of capital efficiencies you could bake into that, and it's pretty impressive. So we've literally got a lot of that to do. I think a year or so ago, we were about 10% on existing pads. This year, I think we're probably less than that, hardly any on existing pads. Another important thing that's happened this year is we have all our HBP concerns are finished. So literally, we have no more acreage at risk and so we no longer have to worry about that aspect, which allows us to, going forward, really focus our capital in the very best returns. And that's what you're going to see us doing going forward. And I think you'll see those numbers gradually increase. I don't think it will ever be a 100% because, clearly, we've got some really good areas like in the eastern part of Washington County in our dry acreage, where even a grass roots, brand new, four well pad there has even got better economics than going back onto an existing wet or super-rich pad. So I think it allows us, real-time, to allocate capital to the very best projects in the Marcellus. And then now, of course, we've got another world-class asset, North Louisiana, that gives us another great option.
Jonathan D. Wolff - Jefferies LLC: And then just thinking about allocated costs, pad is somewhere $1.5 million to $2 million?
Ray N. Walker - Range Resources Corp.: Yeah, pads can be anywhere from $1 million to $2 million. Roads can be significant to insignificant, just depending on how long they have to be. Production facilities can be several hundred thousand dollars per well on the initial install. Meter taps can be pretty expensive and then water infrastructure is super expensive.
Jonathan D. Wolff - Jefferies LLC: (53:38).
Jeffrey L. Ventura - Range Resources Corp.: Jon, we have a lot of people queued up for questions. I hate to say it, but just to try to get a couple more questions out, I don't want to cut you off, but see if we can get at least – there's a bunch of people we aren't going to get to, but maybe we can get a couple more. Next question?
Operator: Thank you. Our next question comes from the line of Mike Kelly of Seaport Global.
Michael Dugan Kelly - Seaport Global Securities LLC: Appreciate that, thanks. Jeff, hoping to get your thoughts pertaining to the 20% growth figure you laid out for 2018. On our model, we could get there just adding a couple rigs, and I'm curious, given the bullish macro backdrop you laid out, great liquidity, great economics at $3 gas, if you're tempted to push that growth rate maybe meaningfully higher, and wanted to gauge your willingness to outspend to get there. Thanks.
Jeffrey L. Ventura - Range Resources Corp.: Yeah, I think an important part is, we're saying we can get that kind of growth, which is great, 20% at or near cash flow with $3.25 and $60. Clearly, we have a large inventory – multi-year inventories in two really high quality areas in Pennsylvania and in North Louisiana, so it gives us a lot of optionality. To the extent prices are higher and cash flow's higher, clearly, we could ramp up and grow quicker. But our intent is to be at or near cash flow and we think 20% growth at or near cash flow, organically, is very strong.
Michael Dugan Kelly - Seaport Global Securities LLC: Okay. Fair enough. And then just a quick one for me, in Terryville you guys lay out the economic slide $8.7 million well cost. But sounds like you're just kind of starting to implement your own techniques there, and curious if you have a goal of where you'd get that well cost down to with John making the move down from Pittsburgh to Houston? Thanks.
Ray N. Walker - Range Resources Corp.: That's a great question. It's hard to peg a number yet. But we've only had – John's only had his reins six weeks, and has already had some great wins. And so I'll just characterize it as saying it's going to be significantly better. I just don't know how to peg that number yet. We just need a few more quarters under our belt to understand where we can really go with that.
Michael Dugan Kelly - Seaport Global Securities LLC: Great. Thank you.
Operator: We're nearing the end of today's conference. We will go to Mike Scialla of Stifel for our final question.
Michael Scialla - Stifel, Nicolaus & Co., Inc.: Yeah. Thanks. Morning, guys. Just wondering on, could you talk a little bit about the potential drilling inventory in just the Upper Red within Terryville, and how the tighter landing interval may have an impact on that?
Alan W. Farquharson - Range Resources Corp.: Yeah, Mike, this is Alan. I think that when we went back – and let me take you back a little bit in time and talk about the acquisition and how we evaluated this thing. So as we went through, we recognized the Upper Red was really the dominant producing interval at that point in time. We recognized the changing target interval – optimizing target interval could have a material impact in terms of productivity per well. And well results and EURs could improve over what we're currently providing for you right now. So with that – and then we also think that also applies to Lower Red and the Pink intervals as well. So the same type of thing is going to happen. So with that, it's going to give us a fairly significant inventory of locations throughout Terryville, from the Upper Red down through the – or the Upper Red, the Lower Red, and then up shallower with the two Pink zones. So don't have a – not going to give you a specific number, but I can tell you that it's going to give us a fairly significant inventory moving forward. Going back through the whole process answering a question earlier, we think we're going to be able to grow productions down there fairly significantly, be able to drive down the gathering and processing rate as well because of the fact (57:36). And I'll be able to do it within cash flow is what our acquisition models show. And so we think it's right in line with what we currently have.
Michael Scialla - Stifel, Nicolaus & Co., Inc.: Not to try and pin you down on a specific number, Alan. Just in terms of like, Netherland Sewell had some numbers out with MRD. Are those in the ballpark, or are you talking about something significantly different?
Alan W. Farquharson - Range Resources Corp.: Well, when we did our – to come back to our analysis – when we did our analysis, we didn't look at Netherland Sewell's analysis. We didn't look at MRD's analysis. We did our own analysis. And my answers on this thing when people have asked this, we have what we believe is our analysis going forward. There's a lot of confusion, I think, that's been out there historically between some of the different analyses that are out there. So as we continue to roll through this thing and get our arms around it, we'll provide some more clarity probably toward year-end.
Operator: Thank you. This concludes today's question-and-answer session. I'd like to turn the call back over to Mr. Ventura for his concluding remarks.
Jeffrey L. Ventura - Range Resources Corp.: Thanks for participating on the call. If you have additional questions, please follow up with the IR team.
Operator: Thank you for your participation in today's conference. You may now disconnect at this time.